Operator: Good day, ladies and gentlemen and welcome to the Brady Corporation Fourth Quarter 2016 Earnings Conference Call. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference Miss Ann Thornton, Director of Investor Relations. Miss Thornton, you may begin.
Ann Thornton: Thank you. Good morning and welcome to the Brady Corporation fiscal 2016 fourth quarter earnings conference call. The slides for this mornings call are located on our website at www.bradycorp.com. We will begin our prepared remarks on slide number three. Please note that during this call, we may make comments about forward-looking information. Words such as expect, will, may, believe, forecast and anticipate are just a few examples of words identifying a forward-looking statement. It's important to note that forward-looking information is subject to various risk factors and uncertainties, which could significantly impact expected results. Risk factors were noted in our news release this morning and in Brady's fiscal 2015 Form 10-K, which was filed with the SEC in September of last year. Also, please note that this teleconference is copyrighted by Brady Corporation and may not be rebroadcast without the consent of Brady. We will be recording this call and broadcasting it on the internet. As such, your participation in the Q&A session will constitute your consent to being recorded. I will now turn the call over to Brady's President and Chief Executive Officer, Michael Nauman.
Michael Nauman: Thank you Ann. Good morning and thank you all for joining us. This morning we released our fourth quarter financial results and I am pleased to report that we finished fiscal 2016 with four consecutive quarters of improved profitability. This quarter, we increased earnings per share by 75% when compared to non-GAAP results of the fourth quarter of last year and we had another quarter of strong cash generation. Our consistent focus on the fundamentals are producing high quality products providing excellent customer service, developing stronger manufacturing processes and pushing for efficiencies in our G&A structure are the primary drivers of our improved financial results. We finished the year well, and I'm pleased with our consistent drive throughout fiscal 2016. Our improved financial performance is a direct result of the team's focus on continuous improvement and operational excellence. Our goal, however, is not only to improve short-term financial results, but to provide the foundation for a strong future. Each employee is focused on making the right decisions today that will ensure our long-term success, whether this is through creating a new innovative solution for our customers, taking the additional time and effort to implement a process improvement or taking those additional steps necessary to make our customers experience an excellent one. In many instances, these actions don't pay off immediately, but instead, set up Brady for a longer-term success model. Organic sales declined by just under 1% in our fourth quarter, which was effectively in line with our expectations coming into the quarter. Our R&D and new product development efforts continue to be a top priority as a strong pipeline of innovative product offerings is essential to our ability to grow organic sales over the long term. As I commented on in the past, we're driving down two parallel paths. The first path focused on driving operational improvement, which includes creating the right culture for success, a culture based on local ownership and accountability where the right behaviors are incentivized. We deliver what we promise, and we put the customer at the center of everything that we do And driving efficiency and simplifying processes in our manufacturing facilities, investing in more effective, high quality equipment, optimizing our product offering, reducing our centralized G&A structure and streamlining the processes that will result in a relatively high current SG&A expense. Our drive for operating improvement has clearly had a positive impact on our financial results this year. The second path is focused on rebuilding our organic sales engine. In our WPS business we are actively managing the catalog to digital shift. I’m excited to say that we are creating an industry leading digital market place with our mobile first mentality and we are sharpening our focus on compliance and customization for Workplace Safety critical industries. In our IDS business, we are investing in new product development process in emerging technologies to create smarter products. Our product development process and pipeline are clearly getting better, but will continue to take some time before the real impact of new product launches is evident in our financials. Across the entire company, we are driving a renewed focus on innovation. We're hiring selected commercial resources where we see opportunities for growth, and we're reinvigorating our focus on improved customer experience. Putting the customer at the center of everything we do will always be a bedrock of Brady's approach to innovation. Despite the challenging economic environment, I'm more confident than ever in Brady's future. Our ability to take action and execute our financial and operational goals has improved significantly compared to last year, but we do have more work to do. Achieving certain goals this year only means we will push for more next year. But this is a core of continuous improvement, and it's what I believe is essential to delivering long-term value to our shareholders. I want to reiterate that I'm proud of what we accomplished this year, but we have to continue to push for more in fiscal 2017. We expect economic conditions to be challenging, resulting in low single digit organic sales decline to slightly positive organic sales growth next year. Our channel partners have noted challenging economic conditions and many other industrial have reported weak revenue growth specifically within the U.S. and Canada. Our top priority will be to continue to have efficient and effective R&D spending, a focus on operational efficiencies through our manufacturing facilities and within G&A and growing organic sales. I'll now turn the call over to Aaron to discuss our fourth quarter financial results. I'll then be back to provide some specific commentary on our Identification Solutions and Workplace Safety businesses and a few closing comments. Aaron?
Aaron Pearce: Thank you, Michael and good morning everyone. I'll start the financial review on Slide number 3, this quarter revenues were down 2.3% to $282.1 million when compared to the fourth quarter of last year. This decrease consists of an organic sales decline of 0.9% and a decrease of 1.4% due to foreign currency translation. Our GAAP diluted EPS finished at $0.49 in the fourth quarter of this year compared to a GAAP loss of $0.77 in last year’s fourth quarter. We benefitted from a lower than normal tax rate in the fourth quarter of this year due to the conclusion of certain audits. If our tax rate would have been closer to our historical norm of approximately 28%, our EPS would have been $0.04 lower this quarter. These results compared to non-GAAP diluted EPS from continuing operations of $0.28 in last year’s fourth quarter. Turning to slide number four, you’ll find a summary of our quarterly sales trends. By division, organic sales decreased 0.2% in the ID Solutions segment and decreased by 2.7% in the workplace safety segment. Looking at our organic sales decline geographically, we saw a decrease in sales in the U.S. and in Australia where we continued to experience reduced demand. These declines were partially offset by organic sales growth in Western Europe where our businesses have performed quite well throughout fiscal 2016 despite a lack of significant economic growth. Foreign currency continued to be a headwind as sales declined 1.4% from foreign currency translation this quarter. Slide number five shows that our fourth quarter gross profit margin finished at 50.0%. Excluding onetime charges recognized in the fourth quarter of last year, our gross profit margin was approximately 47% in last year’s fourth quarter. This significant year-over-year improvement was primarily realized in the facilities that we consolidated in fiscal 2015 as our manufacturing teams have done a great job improving our customer experience and driving operational efficiencies. Looking sequentially, our gross margin decreased from 50.7% in the third quarter to 50.0% this quarter. The biggest driver of this sequential reduction in gross margin was business mix. Slide number six shows the trending of SG&A expense. SG&A expense was $98.4 million this quarter compared to $102.9 million in Q4 of last year. Approximately half of this decrease was caused by the impact of the stronger U.S. dollar and the remaining half was caused by reduced selling expenses as we continue to drive efficiency gains. We are encouraged by this decrease in SG&A as it is an indication, their efforts to identify operational efficiencies and savings throughout the organisation are paying off. Turning to slide number seven, our diluted earnings per share was $0.49 this quarter which compares to our non-GAAP EPS of $0.28 in the fourth quarter of last year. We were able to realize this nice improvement in EPS even though revenues were down a total of 2.3%. These profitability improvements were driven by a combination of operational efficiencies and the lower tax rate that I just mentioned. We were anticipating revenue challenges coming into this quarter, so we were also very tight with our expenses curtailing discretionary spending and delaying certain hirings. Overall, the teams executed well on the cost side in the fourth quarter. As you’ll see in our fiscal 2017 guidance, we do expect that some cost will increase next year as we increase hiring of certain sales professionals and increase our R&D spend. Slide number eight summarizes our cash generation. This quarter we finished with $40.4 million of cash flow from operating activities compared to $40.6 million in last years fourth quarter. Looking at free cash flow, we finished this quarter at $30.8 million compared to $37.5 million in last year's fourth quarter. This decline in free cash flow was a direct result of the increased capital expenditures. Last year’s fourth quarter had unusually low CapEx while this year we had a project hit in the fourth quarter that we had originally anticipated hitting in Q1 of fiscal 2017. The chart in the upper left-hand corner of this slide provides more detail on cash generation. The bars represent cash flow from operating activities and illustrate how we realized improved cash flow over the last five quarters. We’ve moved beyond the period of elevated cash outflows from our restructuring programs and into a period of much stronger cash generation. We returned $10.2 million to our shareholders in the form of dividend this quarter, while repaying $24.3 million of debt. Cash generation in fiscal 2016 was strong benefitting from improved net earnings and improved working capital especially inventories which were built up in fiscal 2015 during our facility consolidation phase and in reduced in fiscal 2016 following the completion of these projects, plus capital expenditure levels were lower than our historical norms for the full year ended July 2016 as our teams were focused on executing the fundamentals in our facilities. Looking ahead to fiscal 2017, we expect cash generation to continue to be solid, however we don’t expect the fiscal 2016 pace of working capital improvements to continue into fiscal 2017. We also expect our capital expenditures to increase to a more normalized level in fiscal 2017. As such, we don’t anticipate the pace of a free cash flow improvement shown in fiscal 2016 to continue into this upcoming year. Our EBITDA and net debt trending are presented on Slide number nine. Our net debt to EBITDA was approximately 0.5 to 1 at the end of the quarter. Our total net debt position has benefited from the strong cash generation and continues to trend downwards. At July 31, 2016 net debt was $75.7 million compared to $139.2 million at the same time last year. Our balance sheet gives us the flexibility to fund future growth opportunities and return funds to our shareholders. Our disciplined and patient capital allocation approach remains unchanged. First, we use our cash to fund organic growth opportunities which includes funding, investments and new product development, digital enhancements, sales generating personnel and capital expenditures. Second, we're focused on returning cash to our shareholders in the form of dividends. Our streak of annual dividend increases has now reached 31 consecutive years. Third, we use our cash to improve shareholders returns through share repurchases. Share repurchases are executed in an opportunistic and patient manner, whereby we only repurchase shares when we see an opportunity to drive meaningful incremental shareholder value. During fiscal 2016, we repurchased a total of 1,154,000 shares at an average price of approximately $20.50 a share. Fourth and finally, we use our cash for acquisitions. As we've stated, we don't expect acquisitions to be a significant use of cash in the near term as we've been focusing the organization on driving operational improvements, improving customer service and driving organic sales opportunities. Slide number 10 introduces guidance for our fiscal year ending July 31, 2017. We expect earnings per diluted Class A Non-voting Common Share to range from $1.55 to $1.70 in fiscal 2017. Our guidance reflects our expectations for continued profit improvement in an environment where we believe organic sales growth will be a challenge, foreign currency translation will provide a headwind and where we will be increasing our investments in organic growth opportunities. Our business is a very short cycle from the time we receive an order to when we ship the product to the customer. This limits our visibility into future orders and makes it challenging to predict future revenue trends. When constructing our view on future organic sales, we take into account historical sales trends, upcoming new product launches, internal initiatives, recent economic news, and of course, what we are seeing and hearing from other industrials. At this point, we just aren't seeing the catalyst that will materially increase our future organic sales growth, and in fact, we expect to continue to see pockets of decline, including in markets where there are significant oil and gas exposure. Based on these analysis, we're expecting organic sales to range from a low single digit decline to slightly positive growth in fiscal 2017. Over the last five years or so, the trend of a strengthening U.S. dollar versus many other currencies have certainly been detrimental to the financial results of many net exporters such as Brady, and based on foreign currency exchange rate as of July 31, 2016, we expect that year-over-year impact of the strengthening U.S. dollar to reduce revenues by another 1.5% in fiscal 2017. Looking at our cost structure, we expect to see our investments in R&D grow in fiscal 2017. As Michael mentioned, R&D and innovation are key drivers of our long-term organic sales growth. We also expect that our tax rate will return to our typical historical range of 27% to 29%. Offsetting this challenging revenue environment and the increased expenses that I just mentioned are ongoing efficiency gains at our manufacturing facilities and in our selling, general and administrative expenses. Our fiscal 2017 guidance is consistent with our stated capital allocation approach, whereby our first priority is to invest in organic growth opportunities, and we are doing that through increased investments in R&D, increased hiring of sales personnel and increased capital expenditures. Our second priority is to return funds to our shareholders in the form of dividend, and we are doing that as well as we announced our 31st consecutive increase in our annual dividend yesterday. Other key operating assumptions in our guidance are depreciation and amortization of approximately $30 million and capital expenditures of approximately $25 million. At this point, we are not anticipating any restructuring charges, and we are not excluding any onetime items from this guidance. So said another way, we expect GAAP and non-GAAP earnings to be consistent in fiscal 2017. I'll now turn the call back over to Michael to cover our platform results and to provide some closing comments before turning the call over to Q&A. Michael?
Michael Nauman: Thank you, Aaron. Slide number 11 summarizes the Identification Solutions financial results for the fourth quarter. Organic sales were down by 0.2% and foreign currency translation further decrease sales by 1.2%. In total, IDS sales were down 1.4% to $198.7 million this quarter. Our European IDS business continues to lead this segment in organic sales, increasing by low single digits compared to last year. Sales growth in Europe has been consistent throughout all of fiscal 2016, and the business has increased organic sales for sixth consecutive quarters, which is a direct result of the efforts of our strong team in Europe. Organic sales in the IDS segment were weakest in Americas region. We continue to be impacted by the economy in Brazil as well as reduced demand in the U.S. and Canada. Organic sales decreased in both Brazil and Canada in the high single digits in the fourth quarter, while sales decreased in the U.S. in the mid-single digits compared to the same quarter last year. Fourth quarter organic sales growth was effectively flat in Asia as the rate of decline in China sales slowed compared to previous quarters. These modest declines in China were offset by increased organic sales throughout the rest of the Asian region. We're continuing to introduce new products to the marketplace that we're really excited about. This quarter, we launched the new BMP61 label printer, which is a handheld printer designed for quick and efficient identification of wires, cables and components. This printer uses Brady's high performance materials designed for tough industrial ID application and features multiple user interfaces, a touchscreen and multiple ways to connect, manage and save data. We're excited about this new printer as it combines new technology with a proven design for use in a wide range of application. IDS finished with $46.3 million in segment profit in the quarter compared to $29 million in last year's fourth quarter. During the fourth quarter of last year, we incurred approximately $7.4 million of non-routine charges, which did not recur this year. Excluding these items, IDS's segment profit would have been $36.4 million or 18.1% of sales in last year's fourth quarter. Segment profit increased almost $10 million when compared to the adjusted fourth quarter of last year. This increase is a direct result of the focus on efficiency and operational and excellence that we've been working to diligently to improve on this entire fiscal year. As a percentage of sales segments, profit improved to 23.3% this quarter. I'm pleased with the increase in segment profit margin in that IDS business. It's a testament to the focused efforts of this entire team. Looking to fiscal 2017, we expect to see modest improvements in segment profit as a percentage of sales when compared to fiscal 2016. Specifically, we expect IDS segment profit to be in the low 20% range of sales in FY '17. We're investing in R&D and commercial resources and we expect to incur additional incentive compensation at fiscal 2017 as well, while at the same time, we expect to see our ongoing efficiency activities offset these cost increases. The Workplace Safety review begins on Slide number 12. Organic sales decreased 2.7% in the WPS segment this quarter. Our European business continues to perform well, with organic sales increases in the low single digit compared to the prior year. This is consistent with the first three quarters of fiscal 2016. European digital sales increased by 24% compared to the fourth quarter of last year. Digital sales were the driver of our organic growth in the quarter as catalog sales declined in the low single digit. Increased organic sales in relatively challenging economic conditions was a direct result of our European leadership team's ability to drive results and execute their strategy in fiscal 2016. The improvement in organic sales in our European-based businesses was offset by mid-single-digit declines in our North American business and high single digit declines in our Australian business. Much like our IDS business, we experienced sluggish demand in the U.S. We continue to adjust our cost structure in both the U.S. and Australia, where we have been successful in improving segment profit as a percentage of sales every quarter this year. Throughout this fiscal year, we've been experiencing foreign currency headwinds in our European and Australian businesses. Combined, these two regions represent approximately two-thirds of our WPS business. These foreign currency headwinds continued in Q4 reducing our WPS sales by 1.6% this quarter, primarily due to the impact of the British pound depreciating against the U.S. dollar following the impact of the Brexit vote. During fiscal 2016, each and every member of the WPS team has been driving three primary goals. First, we're managing the catalog to digital ship through efficient and effective catalog prospecting. Our digital sales are growing with four quarter digital revenue up, low single [ph] digits in Americas and up in strong double digits in Europe. We clearly have momentum, and we're starting to see the payback on our digital investments. Second, we're creating an industry leading digital business by building websites with a mobile first mentality. We now have 17 websites converting to mobile in our WPS business. Although mobile sales are new for us and therefore, still a relatively smaller part of our business, sales generated our mobile devices are increasing every month as a result of the improved capabilities of these new sites. We believe that having a strong mobile presence is necessary in order to be an industry leader in this area. Third, we're working towards gaining product leadership in the safety identification product category through our focus on unique and customized offerings. Our focus in investments in these areas are creating long-term value through on improved customer experience in our digital mobile application and a strong, innovative product line in every key category. Segment profit in the Workplace Safety platform was $16 million this quarter compared to $15.9 million in last year's fourth quarter. As a percentage of sales, segment profit was 19.2% this quarter compared to 18.2% in last year's fourth quarter. This improvement in segment profit margin is encouraging as it marks the fifth consecutive quarter of improvement over the prior year comparable. Looking forward, we're anticipating organic sales to range from a low single digit decline to slightly positive growth. We also expect to see continued foreign currency challenges as a full half of our WPS businesses is in Europe. Historically, our fourth quarter is our highest profit quarter, partly due to stronger sales volumes. It's also partly due to the timing of certain advertising campaigns in Europe as we slowed down advertising campaigns in advance of the European summer holiday season. Looking ahead to fiscal 2017, there are a number of uncertainties, not the least of which is the impact of Brexit. Given what we know today, we expect segment profit to be in the upper teens as a percentage of sales in fiscal 2017. Slide 13 is an update to the midterm financial targets we released in September 2015. Our target of exiting fiscal 2018 on pace to achieve $2 per share remains consistent. Since releasing our financial targets one year ago, the industrial economy is now strengthened. In fact, earnings of the S&P 500 decreased in each of the last several quarters and the U.S. dollar has further strengthened. This has put additional earnings pressure on U.S. based multinational industrials such as Brady. This less than ideal economic condition further our result to drive the path parallel of aggressively driving operational efficiencies, while investing in our organic growth engine. Looking ahead over the next several years, we do not expect our organic growth to outpace GDP. Our emphasis on R&D processes, new product launches and the development of integrated solutions and embedded technologies to create smarter products allow us to accelerate our organic growth in the future, but these types of growth drivers will take them before they show up in our revenue. We believe this is renewed focused on innovation combined with our ongoing digital investments, a relentless focus on great customer service and our overall shift toward local ownership and accountability is a winning combination that will enable Brady to accelerate its organic sales growth to a point where we're exceeding GDP and taking share. Given these foreign currency headwinds and the challenging economic environments we're relying more heavily on operating efficiencies to achieve our $2 per share EPS target exiting fiscal 2018. We expect our gross profit margins to range from 51% to 52% versus a 50% range where we finished this year. We expect SG&A to finish closer to 33.5% to 34.5% versus a 36.1% of sales that we finished at this year. I am proud to say that we made excellent progress in this area this fiscal year, but we must continue to focus on operational efficiencies within all of our facility as we know there is more room for improvement. As it relates to SG&A, we have significant opportunity for improvement. And as we've discussed in prior earnings calls, we're moving towards a decentralized operating model with standardized processes. We're actively taking steps to simplify the organization and reduce our G&A structure, and we're taking actions to better align the cost structure of our underperforming businesses. Again, we don't see the economy or the strengthening U.S. dollar helping us along the path to our $2 earnings per share target, but we remain confident in hitting this target due to the positive momentum we built in driving operational efficiencies. Before turning the call over to Q&A, I'd like to add a few concluding comments. As I reflect in my two years at Brady, I know that I've joined a Company with some of the strongest fundamentals I could hope for, a powerful brand, a strong reputation and a commitment to quality that is a foundation of the organization's culture and people. Over the past two years, I've travelled extensively and visited almost every location globally. I have personally met with almost all of our employees and I know that we have a strong, talented and dedicated team made up of both experienced, dedicated Brady employees and energetic new talent. We made significant progress improving our operational issues and our improved financials in fiscal 2016 are the results. We've delivered four consecutive quarters of year-over-year profit improvements, which is something that hasn't happened to Brady in many years. But we have more work to do. There are more opportunities to improve our manufacturing processes and simplify our SG&A structure both of which remain the top priority in fiscal 2017. We've created a culture of local accountability and ownership. Our team is motivated and aligned each of our total company goals at our overall strategy. And we know that Brady's powerful brand, high-quality product and commitment to delivering the best possible customer experience, allows us to deliver what we promised to our customers, employees and shareholders. As we stated last quarter, we expect to see a decline in organic sales this quarter, but our profitability improvements were better than we expected. Even with these better-than-anticipated profit results, we are highly concerned about our ability to deliver organic sales growth in fiscal 2017 due to challenging economic conditions in several geographies, including the U.S. This will in turn make our ability to control cost and drive operational efficiencies that we have much more essential to hitting our long-term plan. I'm pleased with our progress and achievements in fiscal 2016, but I know that we have the ability to do much more as an organization. We're pushing ourselves to carry this positive momentum into fiscal 2017 and beyond. I would now like to start the Q&A. Operator, would you please provide instructions to our listeners?
Operator: [Operator Instructions] Our first question comes from the line of Allison Poliniak with Wells Fargo. Your line is now open.
Allison Poliniak: Hi guys, good morning.
Michael Nauman: Good morning.
Allison Poliniak: Could you guys -- the European out growth relative to other region is it end market specific? I know you've highlighted a stronger team and such. And if not are there things you could be replicating in the other regions to drive some increased growth outside of the end market?
Michael Nauman: Good morning, Allison. Yes, absolutely. It's a twofold situation. We do have a very strong team in Europe that we're proud of and in some ways, they're ahead of the curve, we are sharing those practices with our other teams. I will say at the same time, because of the nature of the European market and the industries that are involved versus for instance, Brazil, U.S. oil and gas areas, etcetera and Australia, we are seeing better demand there as well. So it's a combination of factors. But absolutely in the areas of overachieving we are sharing those best practices with our other teams actively and also seeing results from that as an effect.
Allison Poliniak: Great, thanks. And then just on SG&A for '17. I know, Aaron you highlighted R&D increasing some of the investments there. What level of R&D increase are we looking out for '17? And you know how should we think about the pace of SG&A throughout the year?
Aaron Pearce: Yes. So let me start with R&D. We clearly are anticipating increases in R&D. As we pulled our guidance together, it could have approximately $0.05 increase -- sorry, $0.05 impact on our earnings per share so it's a pretty material increase in our R&D expense. As we look at SG&A next year, we were -- as Michael commented, we are absolutely focused on driving down our SG&A, while still making investments in certain selling functions. And it all comes down to driving efficiencies everywhere that we possibly can. I certainly don't want to give exact guidance with respect to SG&A, but rest assured, this continues to be a focus area for us.
Allison Poliniak: Okay, great. Thank you.
Aaron Pearce: Thank you.
Operator: Thank you. Our next question comes from the line of George Staphos of Bank of America Merrill Lynch. Your line is now open.
George Staphos: Thanks everyone, good morning. And my congratulations to you and your team for really great progress this year. I wanted to pick up on that one – well it’s well deserved. I wanted to pick on sort of the question from Allison on SG&A. So if we think about this past year that has just concluded, you raised guidance several times during the year. As you think about it, what was the primary if you had it nailed down to one thing driver of that, was it the operational efficiency or was it the SG&A reductions that drove that?
Aaron Pearce: The biggest driver was definitely on the operations side versus the SG&A side. In fact, I think in -- some calls previously I actually mentioned that the SG&A improvements were coming a bit slower than we had hoped for. So operation, so gross margin if you will, was clearly the driver of over performance versus our initial guidance.
George Staphos: Okay. So as we sit here on this side of the phone, Aaron obviously, we can look at GDP, we can look at industrial reduction, we can look at non-res, but obviously the operations on the SG&A are things that we don't really get visibility into until you report for the next quarter. As you think about fiscal '17 on the guidance that you provided, where do you think the upside and downside, swing factors are? Are there more leverage, do you think this year to SG&A relative to operations, or how would you have us -- how would you counsel us?
Aaron Pearce: Yes, great question. So as we look at our guidance, I'd say offsetting the challenging revenue environment are clearly these ongoing efficiency gains in the manufacturing facilities as well as SG&A expense. So if we dig down one level deeper, and we look at gross margin, I mean we clearly expect modest improvements in gross margin. The ongoing efficiency efforts will continue and we can stay very, very, very focused on driving efficiencies. We have a long run way of opportunities as we've talked about, and we certainly expect that we will drive efficiencies in excess of cost increases and greater than any pricing challenges we have as well. In SG&A, we absolutely expect to see some continued efficiencies as well, which would offset virtually all of the cost increases that we mentioned in our prepared remarks, i.e., increased selling resources, a bit of increased incentive compensation, etcetera. But again, it all comes from our perspective; it all comes back to the anticipated revenue challenges. That's really where we have the biggest concern. So I'm not giving you the exact answer on R&D -- I'm sorry on gross margin and SG&A because I want to avoid giving guidance at that level. But the point is, is that we should get improvements in both areas and we'll continue to focus on them.
George Staphos: Yes, understand, Aaron, and it wasn't necessarily trying to get you to the basis point on margins at all. I was just directionally; do you feel more comfortable about the gross margin trajectory or more comfortable about SG&A recognizing you're comfortable in both?
Aaron Pearce: Yes. Actually, let me take a step back. If you would have asked me that question one year ago, I would have said I feel more comfortable with the gross margin improvements. As we sit here today, I feel pretty darn comfortable with both gross margins and SG&A improvement because we now have -- we now have started to get that momentum.
George Staphos: Okay, that's very helpful. My last one and then I will turn it over. Just very quickly on working capital, were you saying you expect less of a benefit this year from working capital improvement, or you actually could invest some funds into working capital this year as we think about the free cash flow model? Thank you.
Aaron Pearce: No, I was absolutely coming at it from the perspective of less of an improvement.
George Staphos: Okay. Thank you very much.
Aaron Pearce: Thank you.
Operator: Thank you. Our next question comes from the line of Charley Brady with SunTrust. Your line is now open.
Charley Brady: Hey thanks, good morning guys.
Michael Nauman: Good morning, Charley
Charley Brady: I just wanted to get back to your comments on the catalog and digitization. Just kind of a bigger picture question. Can you give us a sense remind us where that mix is today and really more importantly as you're looking out over a longer time period, where do you see that getting to? I guess how much does catalog sales kind of become acknowledging that's going to be an important piece of Brady's story for a long time. But I'm just trying to really gauge visionary what you're looking at in terms of where that mix will ultimately be, which obviously would have a pretty important margin impact on you guys.
Michael Nauman: Thanks, Charley. We are not breaking that split out. We have given you some guidance about growth in the past, and we'll continue to do so. But I will say this, we believe that there are typically step functions and change as you go from 1 model to the other that is somewhat based on technology changes somewhat based on generational changes. And so we do expect to see platforms of change or steps of change in the future as we go through literally the next decade. And so you will see a continuing shift in models to a much more real-time interactive approach as opposed to a more reactive catalog approach as we go forward.
Charley Brady: Okay, that's helpful. And just a little bit related to that. Can you talk about without getting specific numbers, kind of the spending trends on optimizing that digital footprint that you've got? Obviously in the early days, a lot of money was being spent because you had a lot of heavy lifting to do. Further down that road today can you give a sense of how much you've been able to kind of backup the accelerator on spend on that? Obviously not to zero, but just – and that's translating into margin?
Michael Nauman: Right. So we clearly continue to spend in that area, we'll continue to invest in that area. But as you noticed, we had to turbocharge it in the beginning of the process as we were converting a number of our sites and making some very dramatic changes. I believe just a couple of years ago, we were behind the curve in our digital resolve. I believe we're now, in some cases, ahead of the curve, although we have a lot more opportunity. So you will see us to continue to invest in this area, but we are not investing at quite the rate that we were in the past.
Charley Brady: Good thanks.
Operator: Thank you. Our next question comes from the line of Mig Dobre with Robert Baird. Your line is open.
MigDobre: Yes, good morning everyone. Maybe looking -- I might have missed this in your prepared remarks, I understand ID Solutions is expected to see a little bit of margin expansion. Did you comment on Workplace Safety for next year as well?
Aaron Pearce: Yes. Actually, we did. And I'll actually just go right back to the script. Because effectively, our comment was that we expect our segment profit to be in the upper teens as a percent of sales, which of course should be a slight expansion over what we just saw this year.
Mig Dobre: Okay, I appreciate that. Sorry for missing it.
Aaron Pearce: It's okay. Don't worry about it.
Mig Dobre: No, no, that's fair. And then I'm sort of looking maybe for a little bit of color with regards to the cadence of margin and ID Solutions into next year. Are there -- is there a seasonal aspect to it that we need to be aware of? I guess to be blunt, when I'm looking at the margin performance that you had in the back half of '16, which has been fairly consistent above 23 at segment level, is that the right way to think about it going into '17?
Michael Nauman: Well, I think, historically our second quarter is always our most challenging quarter for revenue, and that definitely has a margin impact. So I would look at it from the perspective of we typically have a very strong fourth quarter, although as an overall company in IDS we also have a reasonably strong fourth quarter whereas our second quarter because of a variety of timing issues in our industry is our slowest revenue quarter, hence, our most challenging margin quarter. We were making significant improvements that we're able to offset that this year.
Mig Dobre: But can you comment at all on the first quarter, for instance where you don't have the seasonal weakness?
Michael Nauman: Yes, we continue to expect good results in our margins in the first quarter.
Mig Dobre: Okay, great. And then last question for me is really more surrounding growth. I guess can you maybe help us understand or maybe put in some perspective the last couple of years in terms of organic growth; the way you're guiding for fiscal '17 obviously we're not really looking at a lot of growth there, either. I'm trying to understand what was end market-driven here versus maybe some company specific guidance. And at what point do think you'll be able to start narrowing the gap versus non [Indiscernible] GDP?
Michael Nauman: If you go back to my very first guidance, I believe I spoke about the need to reinvigorate our product development pipeline. I also spoke about the fact that, that would take an extensive period of time in the range of three years. We were on track. We are an industrial segment where our new product more specifically the revenue stream coming from new product development takes longer. The positive to that is the revenue streams last a lot longer. So once we do reinvigorate that pipeline, once we do start developing those streams, which we are, it will take -- it will have a longer term benefit. I will say that we did not anticipate the challenges at this point from the overall industrial economy than we're having, and I'm pleased that we're able to overcome those. But there is no question that the economic environment that we're in today is a challenging one. The good news is despite that I think you've seen some changes and some turnarounds in the areas particular of the WPS. But overall in our approach, in some of that comes from a better focus on what we're really good at and some of that comes from the fact that we are creating a stronger, more exciting product line that I think you're going to continue to see more significant results down the road. But it is going to take a while as I've said.
Mig Dobre: Good. Would down the road mean fiscal '18, fiscal '19?
Michael Nauman: Correct.
Mig Dobre: Thank you.
Operator: Thank you. Our next question comes from the line up Joe Mondillo with Sidoti & Company. Your line is now open.
Joseph Mondillo: Hi, good morning everyone.
Michael Nauman: Good morning, Joe.
Joseph Mondillo: So I think you might have just answered this, but relative -- considering your -- the guidance that you provided for fiscal '17 relative to your long term 2018 guidance, it's obviously backend weighted. And I'm just wondering if there's anything relative to the internal initiatives that you are doing, productivity improvement, projects, cost cutting that's more backend weighted that you could see hit more in 2018? Or is it more so just sort of the environment may be weighing a little more on 2017 and hopefully, that improves and maybe you get a long-term benefit relative to the R&D innovative new products. Is there anything sort of internal in terms of the cost cutting or if that's backend weighted or?
Michael Nauman: Joe, you hit it on the head. We continue to expect our efficiency and effectiveness efforts to garner improvement in our profitability. But the most significant factor we believe in the longer term that is really going to impact us in a positive way is the innovation initiative that we're in the middle of right now. We're very excited about the products that we are working on and the opportunities that we're working on, but those obviously take longer. And as I mentioned, looking in that longer-term horizon you're going to see therefore a bigger benefit from those. And given that we expect those products to garner better margins being newer products for us that should have a very solid impact on our earnings.
Joseph Mondillo: Okay. And then my second question just regarding SG&A it's sort of a two part question. First, administrative costs were up about 4% in '16 after actually falling like 11% in 2015. So just wondering if those are going to start coming down, again. What's going on there? And then in terms of long term sort of, if you will, normalized SG&A as a percent of sales, if you could flip a switch here and do everything overnight and not sort of affect any of your businesses or customer service or anything like that, where do you see sort of a normalized SG&A as a percent of sales? Because obviously even with quite frankly, maybe your 2018 goals, and you can tell me if I'm wrong or not, even those goals see maybe a little lofty to maybe some of your peers. So I'm just wondering what sort of maybe a five plus year outlook would be relative to normalized SG&A as a percent of sales.
Aaron Pearce: Joe, I'll handle that question. So the first part of your question with respect to G&A expense being up in fiscal 2016 versus '15, that certainly is true. And there are really two primary drivers, actually two primary drivers offset by one item. First would be our equity based compensation, which you can see is up this year versus prior years. It is not that we've issued more equity; in fact that's not the case at all. It comes down to the fact that in prior years, we actually had some reversals due to turnover in executive team, etcetera. So that's a piece of it. Another piece of it is our bonus expense; it's actually up this year as well. As you know in 2015 the bonuses were pretty, I'll say modest but basically nil throughout the organization and a piece of that has come back. And that has been offset, at least partially offset by the efficiency gains that we've been talking about like I said, have clearly now garnered some traction. So that's the reason that G&A expense was actually up slightly in 2016. And as far as F '17, I don't want to get too granular with respect to that level of detail, what we expect. Now switching to the normalized SG&A so looking out into many, many years of hypothetical question that you raised, I really struggle to answer a question like that to be quite candid. The guidance that we just laid out that we slightly modified with respect to our three year plan, you can see that those targets are 33.5% to 34.5% of sales for SG&A. And frankly, we also look at it the same way you do Joe, and that is, it is lofty compared to our peers, but the reality is we can't pull it down overnight without having a very significant impact on our customer experience, etcetera. So we will continue to chop a way out of, we will continue to drive efficiencies everywhere that we possibly can within the organization. But beyond what you see in our three year plan, that's basically what we're willing to commit to at the moment. But rest assured, we are pushing efficiencies everywhere we possibly can.
Joseph Mondillo: Okay, and just to follow up. There's nothing -- is there anything sort of unique with your business relative to maybe your peers are not exactly the same as you guys and your footprint and your facilities and such? Is there anything that may hold you back long term to maybe get closer to you know obviously you are getting closer, but much closer, I guess, over a five plus year period. Or is it just going to take time and effort and such?
Michael Nauman: That's an important point as we take a look at how we're configured in the complexity of our Company. We are more complex than some of our peers. That provides us with some great benefits. In addition it provides challenges in the area of G&A. The benefits being that really, we come out the market in many different ways and/or in many, many different markets that often our peers are not. That's a great foundational strength we have, and that makes us a very robust company year in and year out. As you've noted though, the result of that is we are going to be challenged to hit best practices rates or peer rates of G&A. That does not mean that we aren't going to work hard to drive to that effect. One of the mantras that I think you repeatedly heard me say is we're driving decisions down into our organizations by creating a structure that can work within. By doing that, it will inherently drive our G&A down, and that's one of the big focuses we have. If they know the limits between stake and run, and they can make the decisions, we don't have to have a larger overhead structure, particularly in our corporate area to accommodate that.
Joseph Mondillo: Okay. Great. Thank you. Appreciate it.
Michael Nauman: Thank you.
Operator: Thank you. Our next question comes from the line of Keith Housum with Northcoast Research. Your line is now open.
Keith Housum: Good morning guys and congratulations on the restructuring efforts so far. I am seeing some great dividends.
Michael Nauman: Thanks Keith.
Keith Housum: As we look at your fourth quarter results, clearly they're better than expectations. Was there any of that due or how much of that was due to the delayed hiring and you're cautioning us through your spending that perhaps you're previously doing is offsetting that?
Michael Nauman: I think that had a very modest factor. In fact, it was extremely modest. Effectively, we're at employment rates that are similar to when I arrived two years ago. We are not doing this by attacking people directly, we're doing this by truly making ourselves a much more efficient and effective organization. I think when you delay hiring in a significant manner we have temporary risk or things of that nature without a huge disconnect in the economy. It really is counterproductive to our long-term goals. So our efforts really are designed to always look at the long term as we make the short term decisions. So yes, we did have some limited delayed hirings, but we don't believe in anyway did that impact our ability to grow in the longer term.
Keith Housum: Okay, great. And then as we look at your Workplace Safety segment, as you look at the performance during the quarter and your expectations for '17, is there greater pressure on volume versus pricing? Or is it purely just volume driven at these levels?
Michael Nauman: Well, obviously, volume has a solid impact in our ability. If we can get a little help from the economy it helps us disproportionately without question. That said, we regularly and carefully look at our pricing models. We do a lot of beta testing of those, in making sure that we are at a price point that is positive for our customers and positive for us.
Keith Housum: Okay, great. And finally my final question for you is on the Identification Solutions group. Is there one part of IDS that is outperforming the others as we look to the current performance as well us into '17?
Michael Nauman: We try not the break out our different segments below that point. However, as you know, health care is a little healthier at the moment. Admission rates are down, but there are opportunities there. In addition any time that you're looking at legislative changes that helps us in those segments of the involved in some of the legislative changes out there certainly are able to do better, because despite the economy, people have to respond to those type of factors. Health and governmental requirements.
Keith Housum: Got it. Thank you.
Michael Nauman: Thank you.
Operator: Thank you. And our next question is a follow-up from the line of George Staphos of Bank of America Merrill Lynch. Your line is open.
George Staphos: Thank you. Hey Mike, can you comment at all in terms of what you see for the pace of non residential construction and how that might play out the next couple of years in terms of your markets? Do you see things as getting somewhat better? Do you see things is somewhat being challenged, recognizing the overall view is that going to be a tough growth environment next year or this fiscal year that you're entering?
Michael Nauman: We'll start with, yes, it's hurting us today. No question about that. I think the real factor involved and that has so much to do with the macro economy that I'm reticent to make unequivocal statement, clearly our history is that as a economy turbochargers and capacity ends up running out, we end up benefiting more at the end of that cycle than the beginning because people are changing the configurations of their factories, they're expanding, so on and so forth. So I think as you look at us and you see construction order capacity issues coming into play, that's a good sign for our future. That said, right now, we have -- and you have, and you can read just as I do all the models and we can look at our customers so many different indicators in the economy right now. I would not plan on forecasting a stronger model in the near future.
George Staphos: Okay. But also from where you sit perhaps because it's well -- maybe I shouldn't answer the question for you. But do you think the non-res trend is decelerating at this juncture status quo or moderate accelerating? And I realize that's a very broad question.
Michael Nauman: I would actually prefer you answering your own questions, but I certainly will do that for you, if you'd like. It is so market dependent at this point. I mean, giving you a great example, oil and gas. That is a huge segment of the U.S. economy, the Canadian economy and look at a couple the Scandinavian countries like Norway, it had a huge impact. If you look at mining industries and things like that in Australia where those significant not only to the economy to us, and there's no question those are in a more stage in some cases. So in the future, you would hope I'd expect that those could improve. But there are other cases that are unrelated that we may see different trends coming the other way, but some of the major ones that we're really being heard on right now, there's very, very little movement in those spaces at all. So you'd hope in the next couple of years as things work at normalized state and you would expect that those would improve.
George Staphos: Okay, I appreciate that.
Michael Nauman: I would prefer you answering your question though.
George Staphos: That's accurate based on my track record. I know somewhat challenging question answer on the line, Mike, but do you think there is a normalized level of margin IDS that at some point you don't want to go past and where would the stand relative to the threshold? I know you're not going to put out a single point number, but any thoughts would be helpful there. Thank you.
Michael Nauman: Sure. I think the key to us moving the margin over the long term has to do with the products we innovate and how we innovate them. We are unequivocally putting more efforts, more consistent effort and I think really more focused effort. I know more focused effort into how we develop our product and what products we're developing. We're seeing a lot more customer input into what their problem sets are that allow us to be much more creative in our solution sets. So I'm very excited about that. But that excitement is not just a revenue excitement. My history and the history of this company is the newer -- and most companies, the newer the products, the better you can gain margin traction. So I would say the most significant way we can change our margin mix in IDS is to have a fresher, more vibrant product introduction.
George Staphos: So to conclude then, once we get in to '18, '19, that's really going to be the driver of your margin at IDS, would that be fair?
Michael Nauman: Unequivocally.
George Staphos: Okay. Thank you very much. Good luck on the year coming up.
Michael Nauman: Thank you sir, appreciate it.
Operator: Thank you. And our last question is a follow up from Mig Dobre with Robert Baird. Your line is open.
Mig Dobre: Yes, thank you for taking my follow up. I'm just trying to understand your FX guidance a little bit better. Correct me if I'm wrong, but you're talking about something like 1.5% headwind, and I'm looking at a broad dollar index, it's basically flat year-over-year, down, call it 3% year-to-date. I'm just sort of having a hard time figuring out how you end up with a headwind?
Aaron Pearce: So the 1.5%, two things to comment on. First of all it's based on exchange rate as of the end of our fiscal year. So as of July 31, that's item number one. And then item number 2, is it really comes down to where our businesses. So for instance, we have a very vibrant business in the U.K. as an example. And if you look at what happened with the pound, I think it was probably $1.46 at the end of our third quarter and somewhere in the $1.32, $1.33 range at the end of July. So you look at the big market like that, clearly that would provide a headwind. If you look at the euro on the other hand, the euro is somewhat stable frankly. But it really comes down to the basket of currencies revenues ultimately come out at, so it's a very calculated number.
Mig Dobre: So how big is your U.K. exposure?
Aaron Pearce: I don't want to get into the revenues, but I will say this, it's a very nice side [ph] business for us in Europe. But I don't want to give the exact revenues.
Mig Dobre: Well, I understand. Is it larger than the euro denominated business?
Aaron Pearce: No. No, it is not.
Mig Dobre: Okay. I can follow up off-line with you. Thank you.
Operator: Thank you. This concludes our Q&A session for today. I would now like to turn the call back over to Miss Thornton for any closing remarks.
Ann Thornton : We thank you for your participation today. As a reminder, the audio and slides from this morning's call are also available on our website at www.bradycorp.com. The replay of this conference call will be available over the phone beginning at 12:30 Central Time today, September 9. The phone number to access the call is 1-855-859-2056. International callers can dial 404-537-3406, and the passcode is 64003281. As always, if you have questions, please contact us. Thanks and have a nice day. Operator, could you please disconnect the call?
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a great day.